Operator: Ladies and gentlemen, thank you for standing by, and welcome to Quarter Three 2018 JinkoSolar Holding Company Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Sebastian Liu. Thank you, sir. Please go ahead.
Sebastian Liu: Thank you, operator. Thank you, everyone for joining us today for JinkoSolar’s third quarter 2018 earnings conference call. The Company’s results were released earlier today and available on the Company’s IR website at www.jinkosolar.com as well as on the newswire services. We have also provided a supplemental presentation for today’s earnings call, which can also be found on IR’s website. On the call today from JinkoSolar are Mr. Chen Kangping, Chief Executive Officer; Mr. Cao Haiyun, Chief Financial Officer; Mr. Gener Miao, VP, Global of Sales; and Mr. Sebastian Liu, IR Director. Mr. Chen will discuss JinkoSolar’s business operations and Company’s highlights, followed by Mr. Miao who will talk about the sales and marketing, and then Mr. Cao, who will take through the financials. We will all be available to answer your questions during the Q&A session that follows. Please note that today’s discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding this and other risks is included in JinkoSolar’s public filings with the Securities and Exchange Commission. JinkoSolar does not assume any obligation to update any forward-looking statements except as required under applicable law. It is now my pleasure to introduce Mr. Chen Kangping, CEO of JinkoSolar. Chen, will speak in Mandarin, and I will translate his comments into English. Please go ahead, Mr. Chen.
Kangping Chen: Thank you, Sebastian. Good morning and good evening to everyone, and thank you for joining us today. Module shipments hit record high of 2,953 megawatt during the quarter, an increase of 5.7% sequentially, and an increase of 24.4% year-over-year. Total revenues were $974.8 million, an increase of 10.5% sequentially and an increase of 4.3% year-over-year. Gross margin increased to 14.9%. Excluding the CVD reversal benefit, gross margin was 12.8% compared with 12% of last quarter. While Chinese demand softened following the May 31st policies, our business continued to grow, thanks to our diverse global customer base and strong brand recognition. Overseas module shipments accounted for almost 80% of our total shipments during the quarter. Our products are now in short of supply with shipments to increase another 27% to 30% in Q4. This contrasts with most of our peers who are seeing their business slow down during the second half of the year or are cutting their full year guidance. Despite the negative impact from May 31 polices, China installed 34.5 gigawatts by the end of September, which is already higher than some analysts’ forecast for the entire year. Recent positive changes from policy side are providing support for a possible rebound in Chinese demand for next year, especially the Solar Industry symposium held by the NEA at the beginning of November, which has the possible huge increase in the current five-year plan target and the statement that the cutoff of solar subsidy will not be once for all, and to support the smooth transition from a policy-driven to a grid parity driven one. More detailed policies are also expected to be announced in the near future. As the industry leader, we will continue to focus on the top runner projects and poverty alleviation projects, and will take advantage of the increasing opportunities for grid parity projects. We are firmly confident that Chinese demand will return next year. Turning to the U.S., the IRS recently issued safe harbor rules for the new solar project. Developers who began building solar energy project by December 31, 2019 and put them in service before 2024 will be eligible for 30% investment tax credit, which is expected to further drive U.S. demand for next year. We will leverage our overseas manufacturing capacity including our U.S. production facility, as well as our strong brand recognition and advantages of our products and services to fully expand our presence in the U.S. The safeguard duty in Indian market had a short-term impact, but the government’s ambitious solar plan is still moving forward, which will heavily rely on the supply of Chinese solar products. We will adjust our strategy accordingly and increase our market share there. Southeast Asia and Oceania markets are growing fast, especially in Vietnam and Australia, where JinkoSolar products are sweeping the markets where we are prepared to generate sustainable long-term growth as the market continues to grow. Driven by grid parity, European and the Latin American markets are also showing new opportunities. I will let Gener go over this in more details later. On the technology front, we continue to locate resources toward application of high-efficiency technologies. We’re constantly optimizing the cost structure of our products. On the wafer side, we continue to make progress in improving wafer efficiency and reducing both oxygen content and light induced degradation. At the same time, we lead the industry in developing thinner wafers, improving efficiency of diamond-wire cutting and reducing wire consumption. On the cell side, we made breakthroughs with the new generation of N type HOT cell and optimized the structure of our P type PERC cell to further improve its efficiency. On the modules side, our Cheetah series are selling rapidly and in-short of supply. Our 72-piece mono PERC Cheetah hit above 400 watts in total output during mass production. We’re also rolling out high efficiency products of fine-finger double glass and shingling technology to meet clients’ varying demands. We’re happy to say that the constant technology development has not only enabled us to provide our clients with competitive high efficiency products but also allow us to sustainably cut costs. We’re confident in our ability to further optimize our cost structure going forward and are fully prepared to enter the era of grid parity in near future. Turning to the manufacturing capacity. Our internal wafer cell and module capacity reached 9.2 gigawatts, 6.5 gigawatts and 10 gigawatts, respectively, at the end of third quarter. We expect to reach 9.7 gigawatts, 7 gigawatts and 10.8 gigawatts, respectively by end of the year, of which approximately 5.7 gigawatts will be mono wafers and approximately, 4.2 gigawatts will be PERC cells. Overall, we’re feeling confident about Chinese and global demand next year as solar energy becomes more and more competitive. This trend is irreversible. We’re now ideally positioned to benefit from the growth in solar energy. And I am confident in our ability to further expand our market share, distinguish ourselves from the competition and consolidate our leading position in industry. Before turning the call over to Gener, I will quickly go over our guidance. Based on the current estimates, total market shipments will be in the range of 3.7 to 4 gigawatts for the first quarter and remain 11.5 to 11.8 gigawatts for the full year. Thank you, Sebastian. With that, I will turn it to Gener.
Gener Miao: Thank you, Mr. Chen. In the third quarter Jinko’s products were selling well and have penetrated over 80 countries worldwide. Strong quarterly performance helped module shipments reach a record high volume of 2,953 megawatts. We expect this momentum to continue to grow in the fourth quarter. 2019 is looking promising as well as a big portion of our order book has already been filled. In terms of the shipment distributions by geography. During the third quarter, most shipments went to emerging markets followed by Asia Pacific, China, North America and Europe. We continue to see a steady expansion of our global footprint which actually further reduces the risk of over-relying on a single market. We are able to successfully achieve this due to our continued efforts on offering localized services along with a full range of product options tailored to clients’ needs. As Mr. Chen mentioned, we remain optimistic about the global demand growth next year. And we are confident in our ability to generate a sustainable growth as we strengthen our leadership positions in the industry. Business in China’s solar market improved following the National Energy Administration meeting in early November 2018. The market now expects that the original 13th five-year solar target to be adjusted upwards and is waiting for the government to announce new policies, supporting new installation targets and subsidies. Jinko plans to take advantage of this opportunity by focusing on the next round of top runner projects, poverty alleviation projects as well as newly announced grid parity projects. China is fast approaching grid parity in many provinces. We will expand our market presence and promote the latest products and technologies to the world’s number one market. The U.S. market continues to show good growth and high potential. Market ASPs remained stable during Q3. Internal Revenue Service’s safe harbor rule guidance that took effect in June, gave developers additional 4 years to complete their projects in order to receive investment tax credit. The new law determines tax credits based on construction and the commission date. Developers can enjoy up to 30% investment tax credit if they start construction before 2020 and the commission before 2024. This policy is expected to further stimulate demand in U.S. next year and beyond. Jinko’s 2019 U.S. product growth is looking very healthy with big orders already secured. Switching to Asia Pacific region. We forecast a good demand in the Japanese market with 2019 installation target in the 6 to 7 gigawatts range as PV market gradually transition from a feed-in tariff to an auction model. JinkoSolar’s products have been well-received in several emerging markets in Southeast Asia and Oceania, especially in Vietnam where the market is expected to install over 2 gigawatts next year. We anticipated and planned for the growth in Vietnam and are confident that we’re ideally positioned to benefit from the long-term growth opportunity there. In the region, markets such as Malaysia and Thailand are also growing, showing good market potential next year. While the Indian safeguard duty announced in September created some turbulence for the market, the government remains committed to its ambitious solar plans. According to the market intelligence, India is aiming for adding 10 to 11.5 gigawatt and 14.7 to 16.2 gigawatt installation target for 2018 and 2019 respectively and reach the 2022 cumulative installation target from 175 gigawatt to 227 gigawatt. The depreciation of the local currency is creating some short-term pressure for developers. But, we are optimistic about the long-term future of the Indian market and will closely monitor the situation there, while adjust our strategy accordingly. European markets are doing well, despite the short-term fluctuation of module prices after the expiration of minimum import price. With these investments, we’ll actually accelerate the sales grid parity, resulting in an increased demand, especially in the UK, Italy, Spain and Greece. In fact, many European countries are very close to grid parity or have already achieved it. Grid parity will bring about more demand across European countries. Emerging markets are gradually becoming the main drivers of global demand and accounted for the biggest portion of JinkoSolar’s total shipment in Q3. This growth was driven by manufactures including large scale applications of new technologies and products in Latin America, rapid growth in Mexico, and expansion of Brazil’s GT market. JinkoSolar retained its market leadership in a number of Latin American, the Middle East and African markets. We will leverage our cutting edge products and extensive self distribution network to promote our products in these regions. ASPs in Q3 decreased slightly compared to the previous quarter, while as Mr. Chen just mentioned, our continued efforts to develop highly efficient products is helping us to cut cost and stay ahead of the market. As solar efficiency increases and cost decreases, the competitiveness of solar energy versus other energy sources will improve and help increase the pace towards grid parity. JinkoSolar continues to demonstrate that our product quality, technology and reliability are leading the market. As a strong testimony of our efforts, Bloomberg New Energy Finance again in this quarter named the JinkoSolar as the most bankable PV manufacturer for the second consecutive year. Also, for the first time, we received the best brand of the year award by the World Brand Forum. The growing list of accolades awarded to JinkoSolar reflects the recognition of our brand, our products and our strong position in the market. We continued to build and develop new marketing and technical capabilities during the quarter. After lunching our new flagship Cheetah series in Q2, JinkoSolar attended 9 exhibitions and 35 conferences worldwide as part of our promotional efforts in Q3. We also hosted 15 major customer events and 115 co-marketing events with key partners across the globe. These global marketing events allowed us to reach new and existing customers and educate them on our high quality products with cutting edge technology. With that, I will turn it over to Charlie.
Haiyun Cao: Thank you, Gener. I would like to walk you through our Q3 results. Total solar module shipments were 2.95 gigawatts, up 6% sequentially, and up 24% year-over-year. Total revenue was $975 million, up 11% sequentially. The sequential increase was due to a strong solar module shipment. Gross profit was $145 million, compared to $110 million in Q2. Thanks to the increase in shipment of solar modules and a CVD reversal. The gross profit in Q3 includes the benefits of CVD reversal of $20 million based on the final results in the administrative review, published by the U.S. Department of Commerce. Gross Margin was 14.9% or 12.8% excluding the CVD reversal benefit, compared to 12% in Q2. We achieved a higher gross margin through a combination of our diversified, strong global sales and continued cost reduction. The operating expenses represented 12.1% of total revenue compared to 10.4% in Q2; the increase is due to the increase of shipping costs as a percentage of revenue with lower ASP and more module shipments out of China. We also invested more efforts on sales and marketing efforts to solidify our leading brands. Next exchange gain was $14 million, compared to $3 million in Q2, due to the continued RMB depreciation against the U.S. dollar. EBITDA was $74 million compared to $59 million in Q2. Net income significantly increased to $27.5 million compared to $15 million in Q2. Non-GAAP net income was $30 million; this translates into non-GAAP diluted earnings per ADS of $0.76. Now, moving to the balance sheet. The Company had $442 million in cash, cash equivalents and restricted cash compared to $387 million at the end of Q2. The accounts receivables were $955 million, down from $1.1 billion at the end of Q2. Inventories were $810 million, down from $890 million at the end of Q2. The total debt was $1.4 billion, compared to $1.4 million at the end of Q2. Overall, we closed Q3 with strong results. Our leading market position, outstanding products and strong execution continued to strengthen our competitiveness. At this moment, we’re happy to take your questions. Operator?
Operator: [Operator instructions] Your first question comes from Maheep from Credit Suisse. Your line is now open. Please go ahead.
Maheep Mandloi: Good evening and thanks for taking questions. So, to start with, could you talk about the earnings impact from the CVD reversal in the quarter and how should we think about CVD reversal in Q4 and 2019?
Haiyun Cao: So, Maheep, this is Charlie. And for the CVD reversal, in general, it’s no specific one-time situation; it’s related to the 2015 regarding our Countervailing Duty we paid. And based on the final results announced by U.S. Department of Commerce in July this year and which after would after the impact -- the impact to the Q3 is around $20 million. But, if you look at the impact to net income, you need to think about the tax impact, which is around 25% in U.S. So, in general for Q3, the impact is -- to the gross profit, the impact is $20 million and to the net income impact is around I think $15 million. And looking to the Q4, it’s a very special situation, since the U.S. Department of Commerce has cut down the rates, they added down Counter Veiling rates again in October. So, the impact is around $9 million in Q4, and we’re going to record an impact in Q4 this year. But, looking to the 2019, we don’t expect any -- same kind of the long-term Counter Veiling Duty reversal next year.
Maheep Mandloi: And that’s $9 million gross profit impact, right, in Q4?
Haiyun Cao: Yes, in Q4 and -- yes, you’re right.
Maheep Mandloi: And just looking at the OpEx in the quarter, it increased. And I think in the prepared remarks you talked about higher shipment expense. Could you just talk about, like what drove that higher shipment expense and how should we think about that in Q4 and 2019?
Haiyun Cao: Yes. The operating expense, it’s kind of combination of two factors. One, it’s the shipping cost, which is higher in Q4, because we have 80% shipments all over China and particularly we have strong shipments in long distance areas, like the Latin America, United States and Middle East; the shipping cost is relatively higher. And second one is we invested a lot of big amount on the marketing and the sales side, which we don’t expect standard numbers. So, looking to next quarter, we expect the operating expenses as a percentage of revenue is in the range of 10% to 11% compared to 12% this quarter.
Maheep Mandloi: That’s interesting. And regarding your marketing and sales, could you talk about the new geographies you’ve invested in or where you see more demand coming in the next year?
Haiyun Cao: Yes. I think, Gener -- in the prepared remarks from Gener, he was talking about we are optimistic on the 2019 demand from global as well as China. China is expecting new China policies coming out by the end of the year. And the second one is, we are seeing a lot of demand from -- because of the grid parity, it’s becoming more competitive from the -- which is going to create a lot of demand from other countries.
Maheep Mandloi: And just one last question for me and then jump back into the queue. So, the upper end of the guidance was reduced by 200 megawatts. Could you talk about what drove that guidance reduction for 2018? Is it just weaker demand -- weaker than expected demand in Q4 or more shipments to the downstream business or -- and also on that, can talk about any cancellations or -- in your booked module shipments?
Haiyun Cao: I think it’s purely the issue of the capacity and the demand is pretty strong and we are seeing strong demand even in China. And we are not able to have sufficient capacity to meet the demand from customers. And so, back to your question, it’s because we have limited capacity and we have turned down some customer orders, so that is the reason, we adjust slightly for the fourth quarter shipments.
Gener Miao: Actually, I think -- this is Gener, Maheep. I think, the guidance is still within the lower end of our previous guidance, which is 7.5 to 12 gigawatts. So, we are at the lower end. The bottleneck, as Charlie just mentioned is because the limited capacity we have but we have to push away a lot of customers’ inquiries and orders right now. So, we don’t see any cancellation, and vice versa, we have to push away some of the customers’ strong demand.
Operator: Your next question comes from Philip from Roth Capital Partners. Your line is now open. Please go ahead.
Philip Shen: On your last conference call for Q2, you highlighted that margins should be more than 15% in the back half the year. Without the $20 million CVD reversal benefit, you guys delivered 12.8%. So, what happened there? Was it a case of ASPs coming in lower than expected, or is it costs go higher than expected? So, what happened in Q3? Thanks.
Haiyun Cao: Yes, two questions. We did expect 13% gross margin in the third quarter, excluding the CVD reversals. But when we reflect our results, in Q3, I think it’s a result of three factors. The first factor is, we shipped around 20% shipments in China in Q3 and after the main, the China new policies, China demand is pretty low as the price is softening down dramatically than what we expected. And the second one is, we have been working very hard on cost reduction side and we have achieved around 10% cost improvement in Q3. But some of the cost improvement impacts were not reflected in Q3 results, because it’s recorded on the inventory side, which is carried forward to the fourth quarter. The third one is we forecast our gross margin based on the exchange rate, which is RMB 6.9 against U.S. dollars. And if you look at our financial statements, we recorded around $15 million exchange gain and which are reflected in gross margin in fourth quarter. So, it’s three factors driven. And lower ASP in China and some cost reduction efforts reflected in inventory, not in the cost of goods sold, otherwise [ph] currency; it’s recorded in not in gross profit recorded below the operating income line, but will be reflected in Q4.
Philip Shen: Okay. That’s a lot of good color and thank you, Charlie. So, looking ahead to Q4, do you see potential for 15% gross margin still, or because of -- so, I guess, the question is, what is the outlook for margins in Q4? And I am wondering ASPs -- we had I think forecasted $0.35 and now I think we’re calculating $0.33. So, can you share what the Q3 ASP is for Q3 and also what you expect for Q4?
Haiyun Cao: So, let me pick up ASP question first. So, Q3 ASP is let’s say decreased slightly compared with Q2. And we don’t disclose the detailed numbers but what we can see is single digit decrease compared with Q2 ASP.
Sebastian Liu: Yes, especially considering -- this is Sebastian, especially considering the impact of the new policy in China, as we compare our ASP with our peers, this pace of decreasing, we think it’s already very good.
Haiyun Cao: And for the gross margin, I just want to take conservative approach because the demand is pretty strong and there’s material cost -- for the production, material cost not expected to go down as quick as we anticipated. So, for the gross margin, we expect excluding the CVD reversal on quarter-over-quarter basis, it’s quite stable.
Philip Shen: So, stable with Q3. Great. And we’re seeing one of your peers -- staying on the topic of margins, being able to generate 15 -- well, 20-plus-percent gross margins. Can you -- they’re kind of talking about how they’re highlighting and focusing on higher margins and lower volume. From your situation, you might be choosing some more volume over the margin. So, help us understand how you’re thinking about that volume versus margin equation and why you’re choosing the volume instead of the margins? Thanks.
Haiyun Cao: First, really, I don’t want to comment on our peers’ performance. And I know you’re talking about our competitors and they did I think strong results but I think it’s not sustainable. But for the balance between the volume and gross profit, I think our prior priority is we want to deliver shareholder value. And we don’t want to chase one-time high profit, but we want to have the balance. And definitely, we’re not going to get some market share by sacrificing our profitabilities. So, of course, there is a lot of work we are going to do, but we want to have balanced volume against our profitabilities.
Gener Miao: So, Phil, this is Gener. Sorry to say, but I cannot agree with your statement saying that we have to sacrifice the volume against the margins. Actually, we are pretty confident we have the capability to deliver good margins with great shipment numbers. That’s what we are working hard on.
Philip Shen: And then, I’ll shift over to China’s outlook. I think, you guys mentioned that you’re confident in demand for next year, Chinese demand. This year, you mentioned, and we’ve seen demand thus far of about 35 gigawatts. So, with about 10 gigwatts in Q4, maybe we get 45 gigawatts this year for China. What do you expect with the potential NEA changes? How big could the Chinese demand for 2019? Could we see 55 gigawatts, what kind of volume do you expect for next year at the market overall?
Gener Miao: So, this is Gener. I think, firstly, we are having such confidence about China market demand. That’s a message we have got from the government meetings -- from the government meetings as well. So, everyone in this industry I think shares the same view. Regarding the detailed numbers, I think you’re right, the first three quarters China recorded around 35 gigawatts. There could be another approximately 10 gigawatts by Q4, that’s adding up around 40 gigawattish -- 45 gigawattish market side. For -- that’s already experienced a shakeout time by slow installation number in Q3 because of the new policy. By the -- after this new November policy meetings happened, I think everyone in this industry are -- looks China market as a promising market. So, the low number I heard or I hear is about 55 gigawatt. That’s back to the 2017 level, even somebody saying up to 60 gigawatt level. But again, because the policy has not been finalized yet, we think it’ll still take some time to get into the detail of those policies, then it’s quite challenging to forecast detail number. But, the whole industry are forecasting the strong demand in China, not only for 2019 but also for the next three years’ time.
Philip Shen: Great. That’s helpful, Gener. When could we get that information from the NEA? I’m hearing a number of things. It could be by the end of year, but it can also be by Chinese New Year. Do you have any sense for when the details from the NEA could come out?
Gener Miao: Well, let’s say sometime between year-end 2018 and Chinese New Year 2019, because the head of NEA China just changed. So, I think the new head needs to take some time to pick it up. But, I don’t think it will change the direction. So, it will come.
Sebastian Liu: This is Sebastian. And NEA, this time -- first, like Gener said this is transition time for NEA leadership. Second is that I think this time from what we’ve heard, there were issued policies state by state, because there are different sections of solar projects or let’s say different type of solar projects in China. So, this time, they will announce for each section probably state by state. For example, they may announce top runner project trend first and maybe see some reaction of the market, then they will announce new subsidized projects for next year and probably then rooftop projects. So, there won’t be just one-time announcement; they’ll do it state by state.
Philip Shen: Okay, great. Sebastian, Gener, and Charlie, thank you very much. I’ll pass it on.
Operator: Thank you. Your next question comes from William from UBS. Your line is now open. Please go ahead.
Unidentified Analyst: Hi. Good morning. My first question was just -- I was wondering if you could give us an update on the ramp of the Florida module assembly facility. And is that running in line with your expectations at this point?
Haiyun Cao: It’s on schedule, and we have started pilots operating for the Florida factories. And we expect to ramp up the factory to full capacity in early next year.
Unidentified Analyst: Thank you. And then, my next question was just on how do you think about your concentration of key markets going forward? You guys used to be heavily weighted towards shipments to -- now that’s in the third quarter more heavily weighted towards emerging markets. So, in 2019, are you expecting to shift back to a higher concentration of China’s shipments or do you expect to remain more diversified?
Gener Miao: Yes, I think -- this is Gener. I think it’s a great question. From the strategy wise, JinkoSolar has always been doing its best to let’s say, spread the risk into different markets. As I talked previously, we try to avoid rely on a single market risk. That’s why the weight of the for example China shipment weight in Jinko keeps decreasing from last year to this year. And if we look into the chart, I have, China only ranked -- across all the regions, I have, China only ranked the number three. For the emerging markets, which is totally new market, become the largest portion of the shipment in Q3, actually invested that’s the direction we’re working on it. In Q3, we have covered almost 80 countries -- over 80 countries shipments in Q4. In Q4, we will continue to ship another I think 80, even 90 countries shipments. That’s the way we are trying to diversify the risk and that’s our continuous job, we will continue to deliver to our shareholders in 2019 as well. So, just to give you a sense, the largest market we have is -- the largest single country we have is below 20% shipments in Q3.
Operator: Your next question comes from John from Luminus [ph]. Your line is now open. Please go ahead.
Unidentified Analyst: Just a couple of questions if I could real quick. First off, what’s the expectation for CapEx for fourth quarter and then for 2019 as you guys continue your growth plan?
Haiyun Cao: John, this is Charlie. For the CapEx -- and we just disclosed in the presentation in PPT, and this is divided by the module business and the international projects we are constructing. And for the module business and for Q4, it’s around I think $15 million to $16 million, [ph] and for 2019 we are still budgeting the CapEx next year. It’s going to take very conservative and the prudent approach and we don’t expect significant investment in 2019. Our focus is to work with our strategic supplies to deliver high quality products to our customers. And we’re expecting to announce the CapEx next year in the next earnings call.
Unidentified Analyst: And then, can you guys give us a sense maybe what poly prices flowing through the 3 quarter results and kind of what you think poly prices flowing through fourth quarter would look like?
A - Haiyun Cao: Poly price, we’re talking a lot after main, the new China policies, and in Q3, I think it’s around $9 to $10 per kilo for multi and mono poly. And Q4, we expect the poly price to be stable, because of the volume from the new capacities were unlimited and the new capacities are ramping up stage, and next year, Q1, we expect the new capacity ramping up for volume, and it may be the poly price will be down a little bit in Q1 next year.
Operator: Thank you. Your next question comes from Brad from Williams Trading [ph]. Your line is now open. Please go ahead.
Unidentified Analyst: [Technical difficulty]
Operator: Pardon the interruption, Brad. Your line is coming in and out. . Brad, are you able to hear us? Your line is coming in and out. We aren’t able to hear or understand what your question is for our speakers today. Can you try and repeat your question? My apologies, everyone. Brad seems to have disconnected his call. [Operator instructions] Your next question comes from Gordon [ph] from Bloomberg. Your line is now open. Please go ahead.
Unidentified Analyst: Hey, guys. Thanks for taking the question. Can you guys maybe talk a little bit about the Japanese market? There was some news out of Japan last week around the potential for cuts to incentives for projects that have not proceeded ahead with construction. Can you talk about what your plans are in the Japanese market, if you currently have any exposure there? And what your view is on how that could potentially adversely or positively affect demand in Japan? Then I have a follow-up.
Gener Miao: Yes. Thank you for the question. This is Gener. I think that’s a very interesting question. If you overlook the global PV market, you’ll see all the major markets are moving to the direction of the grid parity, especially I think Japanese market is one of the very few markets who are still implementing the feed-in tariff policy. But, we have seen that they are trying to transit from the feed-in tariff driven policy into this auction or PPA auction based market segment. And with the new government intention of this construction limits and the time limit, I think that will steadily help the market transit. However, the Japanese market has some traditions that the PPAs always take a long time to implement. And even by now, you would see lots of old time PPAs on this market. So, personal view is, Japanese market transition will take a while. However, it will come for this PPA-based auction or this feed-in tariff free market for Japan.
Unidentified Analyst: Okay. That’s helpful. And then, just taking a step back, looking at what China has done thus far this year. Year-to-date we’re just under 36 gigawatts of installation. I think, I would argue, even the bulls out there had China for the full year at 36 gigawatts. So, China is going to surprise, I would argue significantly to the upside on installation. Despite that fact, ASPs in China are down roughly 33% year-to-date, globally ASPs are down just under 30% year-to-date. So, it seems like the price pressure was still robust, despite the fact, the China is going to surprise to the upside. So, can you guys give us your expectation on kind of where prices are headed? Are we going to see the steady bleed in prices continue, or do you guys see a stabling out point at some point out there for prices of modules?
Gener Miao: Yes, sure. I think China market -- the main reason why China market is so sensitive about the pricing is really because, first, it’s very close to all the major manufacturing. The shipping time, the transportation time is much shorter compared with, for example, U.S. or Europe or all other major markets. So, that’s why it’s highly sensitive, anything happening from to upstream downstream, the information is transferred very rapidly. That’s why the market price changes so fast and rapid. And back to your question regarding the future market pricing, we see market pricing start to differentiate because the project segments are different. For example, if you go to these high-end projects, like the top runner projects, those high-end products are really short of supply. The ASPs, the margins, all the financial numbers in that segment looks much better compared with other markets. And then, if you look into the other segments, such as the poverty alleviation projects, they really care about this -- let’s say, the kilowatt hour generated and also the significant timing, together with the pricing. So, they are quite sensitive about the whole economics. And the last big segment will be the grid parity projects or that’s latest I’d say announcement, policy driven market. And those markets are -- investors are really getting rid of those old types philosophy of price driven. They are really looking to the benefit of the good products, high-end products together with the economics. So, that will get better. In my view, in long term, China market will become much more rational, because of the grid parity in the -- let’s say right now, in some provinces, and very soon in most of the area in China.
Unidentified Analyst: Okay. And then, just a couple of points to clarification -- sorry, a couple of points of clarification. You guys said, the cost was down sequentially in the quarter, the ASP was down sequentially in the quarter. If you could guys could give any more clarity around specificity around those. And then also, you said, you had this one-time benefit in the quarter from CVD reversal. Just correct me if I’m wrong. That was a benefit from a reversal in 2015? And thanks for the questions, guys.
Haiyun Cao: I think, Gordon, just from a cost perspective, we improved our costs price around 10% in Q3 quarter-over-quarter. So, you can calculate movement for the ASP aside. And for the CVD reversal, it was around $20 million impact in Q3.
Unidentified Analyst: Okay. And that CVD reversal was from 2015?
Haiyun Cao: Yes. It’s 2015 and it’s related to the Countervailing Duty we paid for the modules shipped in 2015 from China to the U.S. market.
Unidentified Analyst: And then, just lastly, on the ASP. Did you guys give any clarity on the percent decline of ASP or the absolute amount of decline?
Haiyun Cao: No. We don’t disclose this accurate numbers. Yes.
Sebastian Liu: We can see that ASP decreasing or ASP definitely is smaller than our cost cutting.
Unidentified Analyst: I see. One just last one if I could, just one on OpEx. OpEx was up sequentially in the quarter. As we look to 2019, I know, this may not be an easy question to answer. But should we assume a similar weight of OpEx in 2019, as you guys focus more on international markets, or do you think you’re going to shift back to your traditional Chinese market share?
Gener Miao: I think for market distribution side, we will continue to focus on this balanced market shipment, we will not rely on single market risk, even because the market goes up and down all time long. So, we will try to get the best distribution portion in 2019.
Operator: Your next question comes from Scott from Citigroup. Your line is now open. Please go ahead.
Scott Chui: Hello. Thanks for taking the questions. I have two questions about the order book and also on the margin outlook. So, I would like to understand more about especially the order book in the first half of 2019. I know that second half of 2019 is going to be quite good, but how is the visibility now in the first quarter...
Sebastian Liu: Could you speak up, we cannot hear you clearly.
Gener Miao: Can you be a bit louder?
Scott Chui: Hello. Yes. I just want to ask about the order book in first quarter. How is the visibility now?
Gener Miao: Yes. From market demand side, we continue to be very -- as optimistic as we stated previously in the statement. And we see the market demand is stronger even than 2018, our order books are pretty well positioned. And I think we should -- we will discuss more in our next earnings, but right now we’re feeling pretty good positioned for 2019 order book, and we feel very confident about growing market demand next year.
Sebastian Liu: Yes. Scott, this is Sebastian. Not only in Q1 but like Gener said, in fact we have -- already have good visibility for the whole year of 2019. That’s very good for us.
Scott Chui: Okay, understood. So, you’re not too worried about the demand in first quarter, in this case?
Sebastian Liu: Not at all.
Scott Chui: Okay, sure. Thank you. And also, about the split between mono and multi, can I understand the breakdown between these two technologies in third quarter? And also, how is your expectation in the future quarters?
Gener Miao: For the poly portions and mono portions, actually they are pretty close in the third quarters, let’s say around 45 to 55 range.
Scott Chui: Okay. So, 45 multi and 55 mono…
Gener Miao: 55 poly, 45 mono.
Scott Chui: Okay, sure. All right. Thank you. So, do you expect the mono share will continue to increase?
Gener Miao: Yes. So, from the marketing side, we’re focusing on more let’s say higher end products. That’s the direction we are moving now. We will see the portion of the mono will continue to increase by 2019.
Scott Chui: Okay. How much maybe on the bifacial module side, how much percentage do you expect maybe in 2019?
Gener Miao: 2019, right? Well, right now it’s hard to say -- yes, it’s hard to say, because right now the only massive application for bifacial we’re working on is China top runner program. We have seen a strong market, let’s say interest from customer end. But right now, not many have determined or make up their mind to decide to buy this product. But, we see that’s future product, but it still needs a long time to justify itself in the market.
Sebastian Liu: Yes. And like Gener said, bifacial for us is not difficult, we are fully prepared for the increased market share for bifacial. We just wait for the market to be educated and more mature.
Scott Chui: Okay. And my last question is about the gross margin outlook for fourth quarter. Because I see that the spot prices is now dropping by another 20%, so, you just mentioned that you guys have done like 10% decline in cost reduction, but just wondering if -- do you have other plans in Q4 in order to match the price decline?
Sebastian Liu: Hey, Scott. First question for you is what do you mean by another 20% compared to…
Scott Chui: Yes. Because -- I just calculated your third quarter ASP, should be around low 30s, but in the spot price now, I think it’s around maybe $0.25, $0.26. So, I just want to know if that is the ASP in Q4, then how would the cost be like.
Gener Miao: Yes. From the market pricing side, I rarely see the numbers you mentioned. Maybe in some special cases, in some special markets there it appears in some tier, I’d say tier 3 and tier 4 players. But right now, because of sort of supply right now, I think the market price even goes up somehow by Q4, end of Q4, because of short supply and the strong demand from China last minute rush. So, that’s why I see the market is priced -- is not talking that much, maybe somewhat it’s expecting that but that never happened.
Sebastian Liu: Also Scott, probably you’re -- like Gener said, low in product and probably multiproduct, but you have to remember, Jinko sales a lot of high efficiency product, mono, PERC and other high-efficiency products. So, it’s not just a simple calculation from the -- one region and for one particular product side. So, yes, definitely, my point, definitely, we don’t see 20% down from Q3. That’s definitely not true.
Operator: There are currently no more questions in queue. I’d like to hand the call over back to Sebastian for his closing remarks. Please go ahead, Sebastian.
Sebastian Liu: On behalf of the entire JinkoSolar’s management team, I want to thank you for your interest and participation on this call. If you have further questions or concerns, please feel free to contact us. Have a good day and good evening. Thank you and good bye.
Operator: Thank you, Sebastian. Ladies and gentlemen, that does conclude our conference for today. Thank you all for your participation. You may all now disconnect.